Operator: Good morning, ladies and gentlemen. Welcome to the MAA second quarter 2020 earnings conference call. During the presentation, all participants will be in a listen-only mode. Afterwards, the company will conduct a question-and-answer session. As a reminder, this conference is being recorded today, July 30, 2020. I will now turn the conference over to Tim Argo, Senior Vice President of Finance for MAA.
Tim Argo: Thank you Ashley and good morning everyone. This is Tim Argo, Senior Vice President of Finance for MAA. With me are Eric Bolton, our CEO, Al Campbell, our CFO, Rob DelPriore, our General Counsel, Tom Grimes, our COO and Brad Hill, Executive Vice President and Head of Transactions. Before we begin with our prepared comments this morning, I want to point out that as part of the discussion, company management will be making forward-looking statements. Actual results may differ materially from our projections. We encourage you to refer to the forward-looking statements section in yesterday's earnings release and our 34 Act filings with the SEC, which describe risk factors that may impact future results. These reports, along with a copy of today's prepared comments and an audio copy of this morning's call will be available on our website. During this call, we will also discuss certain non-GAAP financial measures. A presentation of the most directly comparable GAAP financial measures as well as reconciliations of the differences between non-GAAP and comparable GAAP measures can be found in our earnings release and supplemental financial data, which are available on the For Investors page of our website at www.maac.com. I will now turn the call over to Eric.
Eric Bolton: Thanks Tim. Results for the second quarter were ahead of expectations as strong collections drove NOI performance above our internal forecast. Due to both the high quality of our portfolio and the proactive efforts by our team to work with residents impacted by the pandemic, we expect continued solid performance with collections. Encouragingly, the trends for rent payments improved over the course of the quarter. And as Tom will touch on, the positive trends continued in July, with fewer residents seeking rent deferral arrangements. As of the 27th of the month, our cash collections for July rent were a strong 98.1% which compares favorably to an average Q2 performance on a comparable basis at 96.4%. We are monitoring reports of increased levels of COVID cases in a number of Sunbelt markets. While we expect conditions will remain fluid and choppy across various states and markets, we are optimistic that efforts to reopen local businesses and economies will continue. Beyond the uncertainties associated with how various state and local economies will proceed to reopen, questions associated with actions by the federal government to extend support to individuals and businesses also remain unresolved. For these reasons, we continue to feel that conditions remain too uncertain to provide updated earnings guidance. However, as outlined in our supplemental pages to the press release, we will continue to provide more details surrounding current rent collections and leasing trends. Assuming there is no significant change in current conditions, we believe that we will continue to capture solid collections on billed rent as well as continued low resident turnover and stable occupancy. We do expect continued pressure on rent growth, but we were encouraged with the improvement in lease-over-lease pricing for leases signed in July. With a significant percentage of our leases re-pricing during the busy summer leasing season, it is important to keep in mind that we will carry these re-priced units into early leasing season next year and it will weigh on the cumulative performance of overall rent growth for the next three quarters or so. However, as new supply deliveries slow next year, we expect a resumption of more robust rent growth across our markets. Longer term, we believe that our Sunbelt markets will capture increasingly stronger trends in adding new employers, job growth and new household formations. Our unique approach to diversifying across this robust region of the country with high quality communities, supported by a sophisticated operating platform will, we believe, continue to drive long term outperformance for capital. Further, our strong balance sheet puts us in a solid position to both weather the current economic slowdown as well as opportunistically pursue compelling opportunities that emerge. In closing, I want to express my appreciation and thanks to our MAA associates for their dedication and superior service throughout the stressful second quarter. Your performance and commitment to our mission of serving our residents and all who depend on MAA, during these stressful times has been absolutely incredible. And with that, I will now turn the call over to Tom.
Tom Grimes: Thank you Eric and good morning everyone. I will offer a short recap on the second quarter and then move to trends that we have seen through July. The initial slowdown in demand triggered by COVID-19 in late March has moderated and trends are improving. Our teams have adapted and have been effective using our virtual self-tour platform. These practices were further augmented by our return to guided tours in May. Leasing volume in April was down versus prior year by 9% of volume and May and June were strong enough and leasing volume for the quarter was 0.6% higher than last year. Effective rents were up 3.4% and blended lease-over-lease pricing including concessions was up 1.2%. Occupancy remained steady at 95.4%. And turnover for the quarter was down 7% versus last year. We saw steady interest in our product upgrade initiatives. During the quarter, we restarted our interior unit redevelopment program as well as the installation of our Smart Home technology package that includes mobile control of lights, thermostat and security as well as leak detection. As noted in the supplemental document, collections during the quarter were strong, we worked diligently to identify and support those who needed help as a result of COVID-19. The number of those seeking assistance has dropped with each month. In April, we had 5,600 residents on relief plans. The number of participants decreased each month thereafter and it's just 530 for the July rental assistance plan. This represents 0.5% of our 100,000 units. As a reminder, in addition to the flexible payment plans for those affected by COVID-19, we have not charged late fees, we have frozen eviction proceedings and actively worked to pair affected residents with local and national support resources. While we are still below our normal run rate, the reduction in the number of residents on a rental assistance planned aided our fee income during the second quarter. As of July 27, we have collected 98.1% of rent billed for July. This is a 170 basis points better than April, May and June results at the same day of the month. Adding the 0.3% of deferred payments for COVID-19 affected resident payment plans, referenced in the COVID-19 disclosure, we have accounted for 98.4% of July's billed rent. This is an encouraging result, but we are keeping a close eye on the CARES Act expiration and the discussion around the continuation of government benefits. Leasing volume for July is on track to exceed last year. Historically, pricing power peaks in the early third quarter and thus far July has been our best pricing month since COVID-19 hit. Net July month-to-date blended lease-over-lease rates signed during the month increased 1.7%. This is more than 100 basis points better than leases signed in the second quarter. While we see this improvement across asset types and locations, our B assets and our suburban locations are stronger. In addition to positive pricing trends, occupancy has also strengthened. Occupancy has improved from a low point of 95.1% to 95.7% today. Sixty day exposure, which is all vacant units plus notices through a 60-day period, has dropped from a high of 9.2% in April to 8.4% in June and is now 8%. Our current residents are choosing to stay with us and our resident renewal retention rates were also positive. August, September and October renewal accept rates are running ahead of prior years and signed lease-over-lease rates are in the 4% to 5% range. I would like to echo Eric's comments and thank our teams as well. They have served and cared for our residents and our associates well and have grappled with the constantly changing implications of COVID-19. They worked diligently to provide supportive and caring environments for our residents and one another. I am proud of them and grateful for their efforts and character. I will now turn the call over to Brad.
Brad Hill: Thank you Tom. The transaction market continues to experience a material slowdown in activity, with second quarter volume within our markets down significantly from 2019. In addition to challenges in underwriting, travel moratoriums, property tour restrictions and difficulties performing due diligence, all continue to make closing a successful transaction challenging. Despite these pressures, sellers are beginning to test the waters and our number of underwritings, while still below previous years, have increased materially since the beginning of July. Certainty of execution is more important than ever and since this is one of our core strengths, we have been able to review a number of properties, mostly off market. At this point, most of the deals we have reviewed have not traded, so broad pricing trends are not yet apparent. The upcoming election is likely to further suppress transaction volume and cause the lack of pricing discovery to persist. We believe better buying opportunities on new lease-ups should emerge after the election and into 2021 as the backlog of merchant built properties, which are prevalent in our footprint, begin to hit the market. The availability of financing continues to evolve. While early in the pandemic debt financing was difficult across the board, it now remains difficult for lease-up properties as well as some developments, but it is available at very attractive rates for stabilized assets. In addition, the commitment of equity is also further restricting transaction volume and construction starts. To-date, a number of equity providers have paused or completely pulled out of quite a few new developments as well as acquisitions, sometimes for reasons not related to the real estate or the returns. This hesitancy coupled with our continued ability to perform on compelling investments has opened the door for us to review numerous opportunities through each of our external growth platforms. While we are reviewing a few acquisitions, it's still too early for new lease-up opportunities to materialize and more compelling investments on existing assets are likely to emerge late this year and into 2021. Our balance sheet is well-positioned to allow us to take advantage of these opportunities as they arise. Our development team continues to pursue a number of land sites with three developments in due diligence that we hope to start construction on in 2021. With equity hesitating on new developments, we are receiving strong interest in our pre-purchase platform. We are currently in conversations on several opportunities that would likely start construction late this year or early next, with delivery occurring mid-2022 and wrapping up in 2023. These development and pre-purchase investments align well with the current delivery pipelines and will deliver at a time when we believe the leasing conditions for new developments will be significantly stronger. We are beginning to see a drop in permit activity and have seen a substantial drop in construction starts in our markets, which should result in a decrease in deliveries in 2022 and 2023. In terms of construction, the six projects we have under way remain on budget and on schedule. And to-date, we have not experienced any major disruptions or delays to any of our supply chains. With that, I will turn the call over to Al.
Al Campbell: Thank you Brad and good morning everyone. I will provide some brief commentary on the company's recent earnings performance, balance sheet position and then finally, a few comments on our outlook for the remainder of 2020. As mentioned earlier, we are very encouraged by the second quarter performance, particularly in the area of rent collections. At beginning of the pandemic, this area was the most significant short term unknown with rental pricing expected to have a longer term impact as new leases rolled through the portfolio. As noted in the supplement, through July 27, we either fully collected or obtained deferral agreements for 98.4% of all rent billed during the second quarter. And at this point, we have had very good payment performance from our deferral addendums with a 97% compliance rate on outstanding agreements. We also established a reserve sufficient to cover all rent unpaid from residents not entering a formal agreement as well as a large portion of the deferred rent. July continued the strong trend in rent collections, but given the remaining high level of uncertainty, we do not yet have enough clarity to reestablish earnings for overall same-store guidance for the year. However, we do have a little more clarity on operating expenses and overall, we still expect them to end up essentially in line with our initial forecast for the year. As a reminder, we initially outlined same-store expense growth for the full year to be in the range of 3.75% to 4.75% growth or 4.25% growth at the midpoint. The primary pressure is coming from real estate taxes, insurance and the roll out of the bulk Internet cable program called Double Play. The context and the contribution to expense growth, ignoring these three items, all other operating expenses are expected to grow about 2.5% for the full year. Our balance sheet continues to support our business plans very well with leverage near historic lows and significant capacity from cash and remaining borrow potential under our line of credit combining for $927 million of capacity. We restarted our redevelopment programs during the quarter and our development pipeline continues to progress well and on track. We expect to fund between $200 million and $250 million balance for the full year toward the completion of our development pipeline. As Brad mentioned, the acquisition environment remains challenging with most opportunities expected to be pre-purchase deals, which will have longer term funding commitments similar to a development. We currently expect our business plans for the remainder of the year to be essentially leverage neutral not requiring any equity funding this year. However, as previously discussed, our plans do include a potential bond deal in the second half of the year to fully pay off our line of credit, maintaining our capacity and prepaying some future debt maturities in today's low rate environment. And finally, as reflected in our release, we incurred $2.4 million of COVID-19 related expenses during the second quarter, primarily consisting of additional cleaning supplies, COVID-19 related leave and contract labor. We added these costs back to core FFO as these initial expenses are considered non-recurring in nature. We do expect remaining costs to be much smaller over the second half of the year. That's all that we have in the way of prepared comments. So Ashley, we will now turn the call back over to you for questions.
Operator: [Operator Instructions]. We will take our first question from Neil Malkin with Capital One. Please go ahead.
Neil Malkin: Hi everyone. Good morning.
Eric Bolton: Hi Neil. Good morning Neil.
Neil Malkin: Nice quarter. First question. Have you started to see, maybe over the last three months in terms of your new leases, migration out of the gateway urban markets and into your sort of core Sunbelt names? Or is that kind of either too hard or too soon to discern?
Eric Bolton: No. We track that information. Overall, it's a relatively low percentage of our total leases. We didn't see much movement in the second quarter. But in July that began to tick up. So New York is up double-digits, Massachusetts up about 8.7% and Pennsylvania up about 5.3% of our increase over prior year on that. But again, still relatively low percentage of our total leases, but we are beginning to see early trends in that.
Neil Malkin: Okay. And then just as a follow-up to that. Are you seeing, within your markets, more move from urban to suburban particularly in some of your, I guess, maybe out of your post assets or things like that into more suburban areas?
Eric Bolton: We are not seeing that. We are seeing demand for urban assets. Suburban assets is a stronger pricing for us right now. But we are not seeing people transfer from urban to suburban.
Neil Malkin: Got it. And then maybe can you just talk about Orlando? How that market has been performing and how it's trending? Similar with Charleston and Savannah and in some of your markets that are more exposed to leisure travel?
Eric Bolton: Yes. Orlando is, I would say, improved on the rent collection standpoint. They were one of our larger exposures back in April. They are now just 0.7% of leases outstanding or on renewal or on rent support programs. In terms of the market, Disney and Universal coming back in modest fashion have helped a little bit. We are seeing the more Northern properties perform better than the Southern properties, which have that exposure to Disney and a little bit of International. So it's sort of, I would say, largely the same with some improving rent collection trends right now. But we are pleased to see the parks open and that has a ripple effect across those Southern properties. And then Charleston frankly improved significantly. We saw a nice pickup in late second quarter and early July. I mean Savannah is still worry bead on that front.
Neil Malkin: Great. And then last one from me. In terms of opportunities, you mentioned, you kind of talked about a lot, I am not sure I got all of it correctly. But you do not think that in the second half of the year, you are going to see stabilized opportunities. It's mostly just the development related deals. And then also, are you thinking or what do you think about doing some mezz or preferred given the kind of dislocation relative to earlier in the year and the higher yields you could get?
Brad Hill: Neil, this is Brad. I think in terms of the opportunities for the rest of the year, I do think there will be, we have seen starting in July some stabilized assets have begin to come to market. Certainly in the second quarter, there was just a complete fall off and transactions coming to market. That's picked up a bit. I think for us, our focus has always been on new lease-ups. And to-date we are not really seeing those come to market. I think there needs to be a little bit more pressure in the market before developers begin to really bring those to market. So we are really focused in seeing opportunities right now based on kind of the capital constraints that I mentioned in my opening comments. We are seeing the opportunities really emerge on the development front, land sites that have been dropped and then also on pre-purchase where we partner with developers. And for those, we have got difficulties in both debt and equity on that side that's putting some opportunities in front of us that we wouldn't have had.
Eric Bolton: Neil, this is Eric. Also just to clarify, we are not in the business of financing other people's properties. We will come in with capital and work with developers on the basis that we will ultimately own the asset. But functioning strictly as a financier of other people's product is not what we do.
Neil Malkin: Got it. Thank you guys very much.
Tom Grimes: Thanks Neil.
Operator: And we will take our next question from Nick Yulico with Scotiabank. Please go ahead.
Sumit Sharma: Hi guys. This is Sumit, in for Nick. Good thoughts about renewals. Just trying to understand how you guys are thinking about this. They were lower in July, but still well above peers at 4.8%. And just to make sure these leases were offered about 30 to 60 days earlier, right. So most likely right after reopening, how should we think about renewals looking ahead? I mean, is this close to the low in July? Or could they track new lease rates and perhaps stay flattish or slip a little further? Any color around that? Or what is your most sticky point in your negotiations with renewing tenants? And what's driving turnover so low would be really helpful?
Al Campbell: Thank you. I think you caught it in your earlier comments. July was priced on the renewal front at the sort of peak concern level at this point or thus far. So we would expect at this point the renewal rates for July, that took place in July, to be the low point renewals. And in July we are 4.5%. And I think we expect September and October to be between 4% and 5% range going forward. So a little recovery in renewal rates is what we are expecting.
Sumit Sharma: And I guess, just following up, what's driving negotiations and turnover? Just any color on that kind of thing?
Eric Bolton: We have got a very sophisticated platform and team that works to understand what the market demand is for renewal. And we use that process consistently and have trusted it over the years. And that's what we used to move out. And then, we obviously have some level of negotiation with the resident at that point. There hadn't been much in the way of sticking points. So we sort of feel like we are hitting the right spot in terms of the market, because the accept rates are actually better than in prior years. So I would say, it's a pretty honestly normal renewal process going forward.
Sumit Sharma: Okay. That's really helpful color. And I guess what's, just to understand the overall pricing environment a little better and I will yield after that, we are hearing that there was a surge of pent-up demand right after the lockdowns. And so there were people who really wanted to sort of change living conditions and that's why they were looking to move even during the virtual leasing days. But now that everything is seemingly open again, we are also hearing that we are seeing a lot more bargain hunters implying rate pressure and competitive dynamics. So your views seem to suggest that you are not seeing that. I guess what's different here? Or what's driving your optimism a little more?
Eric Bolton: What I would tell you is that we did see, as you saw in my comments around the second quarter, we did see sort of a push back in leasing volumes in May and June which sort of caught us up from the fall off in April. But what we are seeing is sort of a normal seasonal trend at this point. And sort of pricing power, if you will, normally peaks in late July and early August. I would expect that to happen. And then of course, it will fall off in the fall under normal seasonal patterns. We are certainly seeing bargain hunters out there and our pricing is down lower than it was at this time last year. But what we are seeing is sort of normal seasonal pricing patterns now as we move past that sort of shutdown, if you will, that occurred in late March and early April.
Tom Grimes: The other thing I would add is that, I think the fact that you are seeing performance along the lines of what you are describing, you really have to start thinking about different parts of the country. And our Sunbelt markets have just continued to, we think, demonstrate a certain resiliency to them that is stronger than what we are seeing in other regions of the country. And as a consequence of that, things were depressed from where they were a year ago, but patterns and overall behavior in activity surrounding leasing and renewal is pretty much in line with patterns that we have seen historically.
Sumit Sharma: Thank you so much. That's really great color. I will yield now.
Tom Grimes: Thank you.
Operator: We will take our next question from Nick Joseph with Citi. Please go ahead.
Nick Joseph: Thanks. With COVID cases increasing kind of broadly across the Sunbelt, I am wondering on the ground if you see any correlation between local hotspots and the relative strength of the operating environment?
Brad Hill: Nick, you were a little muffled. And we are all trying to talk through masks, I suspect. But I think you were asking correlation between hotspots and leasing volume. Is that correct?
Nick Joseph: That's right. Just on kind of the micro level, if you see a hotspot or if there is a hotspot for COVID, do you feel that on the ground, from a leasing perspective?
Tom Grimes: Nick, we have not seen much in the way of correlation on that. You know, the market fundamentals really seem to be driven more by where the layoffs are occurring and then some variability between location and the submarket. But we are not seeing leasing fall-off in, let's say, high positivity markets versus low positivity markets at this point, unless those correlate with unemployment levels.
Nick Joseph: Thanks. That's helpful. And then maybe just on that, do you have a sense of what percentage of your tenants are currently unemployed or benefiting from government support?
Tom Grimes: We do not have insight into their source of income, Nick. But the fact that we have seen such an improvement and in terms of the number of people asking support from us and the feedback that we get, when we interact with our assistant property managers and our property managers, which as you can imagine, we are doing a ton of right now is that the people getting off are not getting off the plans because their government check came in. They are getting off the plans because they got more hours or they got pulled back off of furlough or Disney opened and they are now engaged in some sort of support capacity.
Eric Bolton: And Nick, the other thing I would add is, when you look at the average income of our portfolio of our resident profile and our average rent at this point, rent constitutes about 20% of monthly income of our resident base, pretty affordable. And so as a consequence of that, while we are certainly monitoring what's happening with the efforts to continue some government assistance at the federal level for unemployment, we are not particularly concerned about that issue, because we just haven't, for all the reasons that Tom mentioned, we just feel like that our folks have not really depended a lot on that assistance to meet the rent obligations.
Nick Joseph: Thank you. That's very helpful.
Tom Grimes: Thank you Nick.
Operator: We will take our next question from Austin Wurschmidt with KeyBanc. Please go ahead.
Austin Wurschmidt: Thanks and good morning everyone. Eric or Tom, I am curious what you think is really driving the strong demand for your properties today, given the state of the job market, the fact that there is some strength in the single-family housing market, both for buy and rentals. And so do you think it's renters that are trading down and bargain hunting, as somebody referenced earlier? Just curious about your thoughts on what's driving demand today?
Tom Grimes: Yes. Austin, I appreciate the question. I think it really is the underlying outlay of our markets in our area of the country and what we are seeing is normal patterns. And I mean I appreciate the comment on strong demand. I am not sure I would quite classify that other than strong relative demand. But demand is clearly off of the levels that we were seeing last year. But I mean we like the resiliency that we are seeing. We are spread out across the Sunbelt, which is a place that is I think appealing, especially in this timeframe and was already a major driver for jobs. And then we have allocated across, we have got across different market types as well. So it is holding up well and the defensive nature of our portfolio I think is showing, but I would hold short before I called it strong demand, I would call relatively strong demand, which we are pleased with.
Eric Bolton: I would also add, Austin, when you consider the fact that 80% of our resident profile is single and only 20% married and over 50% female, this is not a demographic, this is going to be driven to move into single-family, be it for sale or for rent. So we just continue to not see any mounting evidence whatsoever that single-family is becoming more compelling as it pertains to drawing more of our traffic.
Tom Grimes: Yes. I probably should have mentioned as well. Move-outs to buy a house during the quarter were down almost 5% and home renting was down significantly and still less than 6% or it was down almost 10%, it's less than 6% of our move-outs. So we hear the builders are busier, but we are not seeing any impact of that here.
Austin Wurschmidt: Understood. All fair points and appreciate the detail. Eric, you have previously talked about the dry powder you have in the balance sheet and you are willing to use it for the right opportunity. I am curious with the decrease in permitting levels and new supply that you referenced in your prepared remarks, when would you or would you consider ramping the development pipeline above kind of those previous ranges that you have targeted? And then also wondering if you could put a finer point on what the decrease in supply into 2021 looks like?
Eric Bolton: Well, I will take the first part and Brad you can take the supply question. Yes, I will tell you, Austin, yes, we definitely are looking for some development sites at the moment. We think that, as Brad alluded to in his comments that if we were able to start some new projects early next year, that delivering in 2022, early 2023 could be really, really strong. And so we have got existing land sites that we own in Austin, another opportunity that we are working on in Raleigh, another opportunity we are working on in Tampa. And so you are not going to see it ramp up significantly because we have also got some other projects we will be finishing up. But on balance, I think that you will likely see our development pipeline move up somewhat over the next year or so, because we think deliveries in the next two years could be quite profitable.
Brad Hill: And Austin, this is Brad. On the supply question for 2021, I think in terms of specific numbers for 2021, it's kind of hard to pinpoint at this point. But I think if you look at the larger picture here, starting in March when COVID kind of started and the impact started hitting, it really permits, it really started to decline and construction starts more. So if you are looking at an 18 month to a 20 month time period for delivery, you are starting to get into the back half of next year, end of next year when the supply starts to go down versus previous expectations. But in terms of the magnitude of that at this point, I think it's too early to say what it is. But we do expect, starting end of next year supply coming down just based on the construction starts in permitting and then that carrying into a larger degree into 2022.
Austin Wurschmidt: That's helpful. Eric, I mean how large the development pipeline would you be willing to build, either from a dollar perspective or percent of EV?
Al Campbell: Austin, this is Al. What we have talked about in the past is really, we wouldn't want to go above 5% of our balance sheet. But that's a pretty big number. You are talking $700 million to $800 million right now. As Eric mentioned, we have got about $450 million that we are working on. Some of that will deliver over the next year, year-and-a-half. And we will have several projects come back into the pipeline. So we would expect it to go up from the $450 million that we have right now. But you wouldn't see it go probably $800 million or something like that unless we had a specific plan or something different.
Austin Wurschmidt: Understood. Thanks guys.
Operator: We will take our next question from Rich Anderson with SMBC. Please go ahead.
Rich Anderson: Hi. Thanks. Good morning. Great quarter everybody. I just want to clarify. I think it was Tom, 5,600 seeking assistance in April down to 530 in July. Was that right? And seeking assistance from the government or from you?
Tom Grimes: From us. Those are the people that we reached out to identify and it is assistance from us in term of rent abatement plans.
Eric Bolton: Your numbers are correct, Rich.
Tom Grimes: And yes, your numbers are correct, yes.
Rich Anderson: Okay. So you actually gave assistance or they were seeking assistance?
Tom Grimes: No. We gave assistance. We did it. We had plans that set up payment plans for rent over a defined time.
Rich Anderson: Okay. And I think it was you also, Tom, that mentioned, you are seeing people come from Massachusetts and New York. I find that kind of interesting. I am surprised, you are not more interested in that. You kind of brushed it off as an early sign. Don't we have to crawl before we walk? I kind of feel like that might be something to really keep an eye on. And I am wondering if you could just give a little bit more color on your perspective of that kind of in-migration dynamic you are seeing?
Tom Grimes: No, I mean the dynamic is real and it's part of the reason that we have built our strategy. While we feel like the Sunbelt is a place that’s always benefited from in-migration, it's a high quality of life, it's affordable and you have some flexibility here. And then that has accelerated in latter years as taxes got more difficult and things like that. And then it seems to be further accelerating as work from home allows unprecedented flexibility on where you choose to live and things like density and transit or things that were perceived as real strengths may be less so. So we certainly read everything that you are reading and think that's interesting. And that's a lot of the reason why we are where we are. But right now, the total move-ins from those markets is still relatively low. The pickup is interesting for us and we think this is going to continue. But I don't want to overstate the impact on our demand and that's why I was perhaps being a little lighter on the point earlier.
Rich Anderson: Are people saying, I am coming here because I am afraid of what's going on? And is it impacted by COVID-19? Or is it sort of just a data point you really can't characterize it?
Tom Grimes: It is data point based on where they moved from. We have not conducted interviews. But I will tell you, when I talk to our staff members who are often moving, we have a healthy amount of people from the Northeast in Raleigh and in Charlotte and in Tampa, Chicago and in Phoenix and Denver and Dallas and Austin, it's California. They are moving and they are moving with their family and they are moving because they are out-priced and over-commuted and those are the things driving it. Now, these recent things like COVID and unrest, that may accelerate things further. But the people we have talked to, it's been lifestyle choices based on quality of life. We have not heard anybody recent enough or had a conversation recent enough to know that these other things are playing into it at this point.
Rich Anderson: Okay. Great. So know in migration, the fact of life in the Sunbelt generally, I just didn't know if it was significantly more than typical. But anyway I will move on. Last question from me, may be to Eric. If you get your federal support and that situation gets resolved, tariffs too, what do you think you and perhaps the industry, because I assume you talked to every other REIT about how to position earning season? Do you think guidance could come back into the mix next quarter or some time or do you think we are going to probably wait this out till 2021 comes around?
Eric Bolton: No. I think that if we see stabilization broadly begin to take place and the government programs get recommitted to, I think by the time we get to the end of October, when we are releasing Q3, we will have pretty good visibility on the balance of the year at that point. So my guess is that when we release Q3, we will have a pretty good read on the full year to that point. And then we are also starting to get some sense of where 2021 is likely to go a little bit as well. We probably will not give guidance for 2021 at the end of October. But I think we will have some evidence to at least guide expectations a bit, supply dynamics, things of that nature, probably, are pretty well known. So I am confident by the time we get to the end of October, we will have a pretty good read on the balance of the year.
Rich Anderson: Okay. That sounds great. Thanks everybody.
Eric Bolton: You bet.
Al Campbell: Thanks Rich.
Operator: And we will now take our next question from Haendel St. Juste with Mizuho. Please go ahead.
Haendel St. Juste: Yes. That's fine, Mizuho, thank you. I promise I only have two questions. So first one here is, you mentioned earlier that you have been able to review a few deals from potential sellers. I am curious what, looking at some of these shadow deals, I know they haven't closed, I am curious what they inform you on seller underwriting, maybe from a cap rate IRR perspective?
Tom Grimes: Haendel, could you say that one more time. I am sorry we had a hard time hearing you on that.
Eric Bolton: It was muffled a little bit, Haendel.
Haendel St. Juste: Sure thing. I was referring to the comments you made earlier about being able to review a few deals from potential sellers. So I was curious what looking at some of these shadow deals, I know they didn't close, but I am curious what you might have learned? What reviewing the deals informed you of the seller expectations and what they are underwriting maybe from a cap rate or IRR perspective? Thanks.
Brad Hill: Yes. Haendel, this is Brad. I will answer the first part of that. And anybody else can add in. But certainly, if you look back at second quarter, as I mentioned, volume was off tremendously. Normally in a quarter we are underwriting somewhere between 50 and 60 deals and in the second quarter we looked at 10 individual assets. So that just gives you an indication of the potential for data points is very, very limited and it's hard to draw strong conclusions from that. Of the 10 that we looked at, three have closed. Those were generally stabilized assets. Certainly, as I mentioned, the lease-up properties are not coming to market. So we really don't have any data points for pricing to indicate any pricing on those. But then as you get into the stabilized assets, you really have two camps. You have just a stabilized asset or you have a value-add. And the value-add camp is certainly seeing more of an impact. We are in constant communications with other contacts within the industry to try to help paint a broader picture of what this pricing environment looks like. And again, we just don't have a lot of data points. But I can tell you what we are generally seeing is, if you just look at the underwriting impact of what generally folks believe the impact to underwriting is of COVID going forward over the next couple of years is generally a 5% to 10% pricing discount is what folks expect. If you look at the deals that have closed, again taking out lease-ups, which haven't occurred and then taking out value-add, you are really looking at pricing discounts between 0% and 5%. And really what's helping folks bridge that gap is buyers are able to really pay a little bit more for the assets than what the underwriting would suggest because of the accommodative financing of our environment that's out there. And these high levered folks that are able to close on these transactions are able to kind of push through that pricing a little bit. But what it has indicated to us, because the fundamentals are off and the pricing is not off as much as that would suggest is the cap rates are coming down. We have seen that again on the couple of deals that we have looked at and then we are also hearing that with the industry contacts that we are talking to. But I would just say that it's very limited number of data points at this point. So it's really hard to draw strong conclusions from that at this point. And I think we will start to see some of the stabilized asset pricing point trickle out as we get a little bit further along in the year. But lease-up pricing, I think, will be next year before we start seeing that.
Haendel St. Juste: Got it. That's helpful. And it largely fits with what we have heard as well. One last one. I was curious if you could talk about the blended rent growth in 2Q and July between your leading growth markets, the Austins, the Raleighs and your weaker ones, Atlanta. And maybe perhaps you could give us some thoughts on your near term expectations. Do you expect that relationship in terms of blended rent growth between the best and the worst to get wider or to narrow over the next couple of quarters? And why?
Tom Grimes: You are going to see, Haendel, I think we are seeing better progress for signed in July in Phoenix, Raleigh, Jacksonville, Greenville, places like that. Houston and Orlando flat to modestly improving. And then Savannah, as I mentioned earlier, in Charleston both improved on blended pricing during the quarter. Charleston improved a good bit, Savannah modestly. Overall, again I think we will follow on new lease pricing. I think we will follow seasonal patterns. What it gives me some encouragement is across the board in July, move-ins increased, exposure has come down and occupancy has improved during the month. And I think that sets us up well to follow sort of our typical seasonal pattern on those areas.
Haendel St. Juste: If I could follow-up and violate what I promised I wouldn't do. Any cover on concessions? It would seem that the best and the worst markets generally, what the market or what you are seeing across some of those better markets and weaker markets is?
Tom Grimes: Yes. So we are on a net effective basis on concession. So we give a few, really where we are set up near lease-ups for the company. Concessions were 0.8% of net potential last year and are 1% this year. Our competitors, what we are seeing and as most competitive markets is in places like in Downtown Atlanta inner loop and Buckhead, one to two months free on stabilized assets, up to three on lease-up properties. In Houston inner loop, we are seeing half month to a month. Phoenix, much lighter in areas like that. And Orlando is a little softer to the south, as I mentioned, than to the north just to go around the horn. The worst concession developer thing that we have seen is four months free at a busted deal that Brad's already sniffed around on in Fredericksburg, Virginia and the DC suburbs.
Haendel St. Juste: Thank you for the color. I appreciate it.
Operator: We will take our next question from Rob Stevenson with Janney. Please go ahead.
Rob Stevenson: Good morning guys. Can you talk about what you guys typically see in terms of traffic and leasing volume in May, June, July from the influx of new college graduates in your core markets in a normal year and what you have seen thus far this year?
Tom Grimes: Obviously it's reflected in our overall results. Our overall exposure around the student housing is low. We don't have any property that's remotely close to half of its students. But we have seen, we have got one asset in Atlanta near Emory and it's been a little slower. But honest in terms of students coming back and we have got a few others like that, we are just using that as an opportunity to diversify what our unit mix is. So we are definitely seeing some delay on people committing to housing. It was much later. And then it's hit or miss where it is depending on what the school signaled early. And then as I suspect, it continues to evolve as schools are changing their plans. The short answer is, we have got so little exposure to it that we don't pay a ton of attention to it, but it picked up a few snippets here or there.
Rob Stevenson: No. What I was focusing on is, somebody who just graduated from, let's say, Georgia Tech and is now going to rent a unit in Atlanta with one of his buddies because last year he would have been working for a consulting firm or a tech firm or something like that. The new leases from somebody that doesn't have a background where it's the graduates whatever they are, how big a meaningful portion are college graduates in that sort of May, June, July at the beginning of the summer leasing season? And the influx of that typically in terms of your business? And what is that sort of dropped off to now? Is it half? Is it a quarter? Are all these kids staying in their parents' basements and working remotely? Or in the Sunbelt markets, have the businesses actually brought the new hires into the headquarters buildings, et cetera?
Eric Bolton: Yes. I will answer it anecdotally. And that is, we saw leasing in May and June strong enough that it offset the weakness in April and put us ahead for the quarter in aggregate and July is running ahead of last year. So our overall demand in terms of the number of leases that we have been able to execute has been a little bit better than last year. We also have not seen, often we will see either shopped or we will pick up a few where a large hire will BofA or somebody like that is bringing on a bunch of new people and they are looking for 40 units in a market and they all want to be near Peachtree Road or something like that. We are not seeing those. We are not seeing those shops. But as far as exactly what the number is of people, college grads that are looking at or not looking at, I don't have that. But we have been able to fill units as we normally would.
Rob Stevenson: Okay. And then, you guys talked earlier about the development starts over the next six, nine months, expected to be delivered in 2022. At what point do some of the sort of issues with COVID start to make its way and how you plan and build new development projects? I mean if I look over the last 10 years across the apartment space, units have gotten smaller. There has been more studios in the mix. You have had more central entrances and elevator banks as you have gone from three storey walk-ups to a mid-rise, et cetera. So whether or not it's urban or suburban, people have been packed in tighter. When you guys think about planning out the new developments that you will start next year, are you making any changes to the size of the units, to the unit mixes, how tenants enter, exit the building? And if you are, what is that doing to construction cost estimates when you plan this versus what you would have started a year or so ago?
Brad Hill: Yes. Rob, this is Brad. I don't think we have made any broad changes to unit sizes or things like that. I mean I think over the last couple of years, we have been doing more dens. And one of the things we are adding is the opportunity within the club houses for a work from home type environment. We are trying to add desks and things like that, areas within some of our new units wherever we can. But I feel like there's been, at least for us over the last couple of years, there has been a push to really beefing up the amenities on the outside from the pool decks to having some congregation areas that are on the outside of the units, exterior. And I think that will continue. And we are pouring even the deals we are looking at now, quite a bit into the design and the development of those outside gathering spaces as folks look to get outside when they can. So those are the things that we are looking at. I am not sure that we have seen any type of construction cost considerations or any trends relative to those things at this point.
Eric Bolton: And Rob, I will tell you, this is Eric. We are, of all the projects that we are looking at and all that we have under way right now, only one is in an urban core area in Downtown, Orlando. Everything else that we are doing is suburban. Usually two, three story, walk up, in some cases elevators. But we have only got one project we are working on that is, what I call, real high density type project.
Rob Stevenson: Okay. What is your average square foot per unit these days?
Tom Grimes: Well, Rob, I would say, it's roughly 900 square feet, 950 square feet.
Rob Stevenson: Okay. Thanks guys. I appreciate it.
Operator: We will go next to John Kim with BMO Capital Markets. Please go ahead.
John Kim: Thank you. I think Eric or Brad mentioned that the upcoming election has had an adverse impact on transaction volumes. And I was wondering if you could elaborate on that? And whether that's specific to the uncertainty of 1031 exchanges?
Brad Hill: This is Brad, John. I don't think it is relative to 1031 exchanges at this point. I think it's just another item that introduces uncertainty into the transaction market. I do think we have seen an uptick in opportunities come to market. The first part of July has been pretty robust. And generally everything that's coming out right now is off market. It's not fully marketed deals. So I am sure there are things that are coming out that we are not even seeing at the moment. But there is an uptick in that and I suspect that will continue for the next month or two and then likely dissipate as we get closer to the election. From the folks we are talking to, it's just another area of uncertainty into the valuation model that just puts folks on pause. So I don't think it's anything specific to trying to project who is elected or what policy and the impact of that policy at this point. I think it's just another unknown.
John Kim: Without getting too political, I mean, is your view or the markets view that the Biden presidency would be negative for asset values?
Eric Bolton: I don't know, John. I think that I am not going to go there. I don't know how the market is, at this point, weighing, whether a Trump or Biden presidency is favorable or unfavorable. I think that what we are seeing is really just what Brad alluded to is just, there is just uncertainty and I think capital just gets a little bit nervous with uncertainty and it makes it harder to underwrite. So I think that's all we are seeing at this point.
John Kim: Fair enough. Tom mentioned, in your prepared remarks, that the return of guided tours to complement your virtual and self guided tours. Did you find in the force experiments that the traditional tours or at least a hybrid approach are more effective?
Tom Grimes: No, we did not. What we found that it was thrilling to really know if they were equally as effective. And so we are very pleased with that. Those tours got us over the hump and now it's roughly 43% of our resident, of our leads, our tours are doing guided tours where they are interacting with our folks. And it's split evenly between virtual and self tours after that. We have learned an awful lot about the process. Thrilled with how the teams have worked and adapted them. And then as we get into 2021, you will see us begin to do some things that really streamline and ease the self-service side of it. But we were quite pleased with how effective they were with the residents and what the prospects and how well our teams adapted to that really overnight and used those well.
John Kim: Can you provide an update as to what percentage of your communities have the capability to do self guided tours?
Tom Grimes: 100%. We have self guided tours occurring at every property in the company.
John Kim: Okay. Great. Thank you.
Tom Grimes: You bet.
Operator: And we will take our next question from John Pawlowski with Green Street. Please go ahead.
John Pawlowski: Thanks very much. Just two questions from me. Tom, on the new lease figures for sign in July, could you give us a sense if you excluded interior redevelopments what that new lease figure might look like? I am just trying to get a sense for what market rent growth is across your portfolio right now?
Tom Grimes: John, it would really be minimal. I would have to go back it out, but since we didn't produce any in second quarter, it is really minimal that at least we just got back to turning those on. So this is probably as clean a result on renovate impact as you are going to see.
John Pawlowski: All right. Perfect. And then Brad, curious with your question or with your conversations with developers, do you get the sense, I know it's tough to read the tea leaves, but do you get the sense that they think this is a two or three month pause on their debt and equity providers given the money? Or they have become really concerned that this is kind of more of a structural multi-quarter, multi-year kind of freeze in their capital sources?
Brad Hill: Well, I think, first of all, the development bunch is normally a very opportunistic and a very positive group. So I don't think they view this as a structural issue. I do think that they see it as problematic, because a lot of the folks that we talk to are merchant developers and their platform is certainly built on the machine continuing to run. So I think that they are out looking for alternative sources, whether this is short term or long term. But that bunch is normally, they are having glass half full normally. So I don't know that they are and I have no indications at this point that they are thinking that this is a long term shift and that they are changing their strategies because of that. But there is certainly an impact. I think the debt side of things for developers that are not this strong established sponsors with strong relationships with the banking community, those folks are going to have a hard time lining up debt for the foreseeable future.
John Pawlowski: All right. Thank you.
Operator: We will take our next question from Alex Kalmus with Zelman & Associates. Please go ahead.
Alex Kalmus: Hi. Thank you for taking my question. Looking at your collection results which are clearly trending above the group, I was hoping you could walk us through the components on Page 30? Is this total build in the denominator? Is that off of the original rent? Or is that off of the newly amended lease rates? And same question for July, that 98.4%. Thank you.
Al Campbell: Yes. Alex, this is Al. That is based on for April, May and June what was billed, that cash they are expected to pay. I mean that is what the lease would say and before any addendum, the lease would say what was signed to be and then after addendum, they would have that lease rate plus additional amount that we spread over the life of the lease. So that cash bill number is what we billed and expect them to collect in total. And the point there in that presentation was to say that, look, we have collected 98.9% in cash, another 50 basis points or 0.5% in payment addendums that we are getting very good collection performance on. I think at this point, it's about 97% compliance with that. So we feel very good about that. But having said that, we felt it was prudent to put a reserve on the books that was sufficient to cover a couple of things. One, if somebody did not come in and talk to us at all and do an addendum, fully reserve that. And if someone did do an addendum, we reserved a substantial portion of that. Somewhere, they are different for each one, but on aggregate probably two-thirds of that. So that's what that represents, the expected cash collections and where we are on that and what we reserved.
Alex Kalmus: Got it. Thank you. And a slightly different topic. In terms of occupancy and how you are thinking about the fall season coming up, historically you have been seeing great renewal growth rates. I am curious if you would like to see your occupancy number go up before maybe uncertainty in the fall? Or are you still going to be pushing those renewals? Thank you.
Tom Grimes: I will tell you that we expect occupancy to build with exposure going down, expect that to happen and bring our exposure down and prepare ourselves for the low demand timeframe. Those renewal rates, if you look at us historically in the fall, they are lower than they are in the peak season. But I would expect them to continue on at about this rate, which is still a significant lower increase than this time last year. So I would expect recovery in our renewal rates and the variable that will change to manage exposure down and occupancy up will be probably a seasonal fall off, I would expect in our new lease rates as we move into the fall.
Alex Kalmus: Got it. Thank you very much.
Tom Grimes: You bet.
Operator: And we will go next to Wes Golladay with RBC Capital Markets. Please go ahead.
Wes Golladay: Hi. Good morning guys. Would you happen to have a snapshot of the gain or loss to lease of the portfolio as it stands today?
Tom Grimes: What earned in the is today?
Wes Golladay: Yes.
Brad Hill: You know Wes, we don't have that in front of me. I will see if we could get back to you on that.
Eric Bolton: We can get that to you. We will get back to you on that, Wes.
Brad Hill: Yes. We certainly had a strong loss lease going into the second quarter. I think it's probably declined, given that leasing trends that we have seen in the quarter certainly come down. But the important point is that the actions that we took over the last year is really to continue to push price and give a little occupancy to do that, put us in a really good position going into the second quarter. So it protected us well there. It has come down. Tim can get that. And we will get that back to you offline. What we think it is, yes.
Wes Golladay: Okay. And the qualitative was good, I was kind of getting with the strong renewal to see if it's going to taper off a bit. Now turning to acquisitions, you kind of mentioned looking at lease-up properties. Would you expect a lot of off market transactions limited bid. And then secondly, would you expect competition from the levered buyers?
Brad Hill: This is Brad. Wes, I would say, predominantly what we are seeing right now is off market. There's only been a couple, maybe 10% of what we have seen come across has been fully marketed deals. So yes, I think everything right now is going to be more off-market. Even the deals that have been marketed, some of those were pre-empted or somebody came in and just paid what the seller wanted and really short circuited the marketing process. So I expect that to continue. And then I am sorry, what was the second part of your question.
Wes Golladay: So would you expect the levered buyers to be active competition for you?
Brad Hill: Well, not on lease-ups, I don't. We generally don't see those come into play as much on lease-ups. Those are generally focused on the assets that are currently earning, so stabilized assets, that's where you see those a little bit more. Also on lease-ups where we are focused, financing is extremely difficult right now. And that's why a lot of the sellers are not wanting to bring those to market at the moment. They are wanting to get stabilized so that they can line up financing and certainly bring those high levered buyers in there. So to the extent that developers can wait it out and get their assets stabilized, then I think the leveraged buyer can come there. But that's really not the segment of the lease-up segment that we are actually focused on.
Wes Golladay: Okay. Thanks a lot guys.
Tom Grimes: Wes, thank you.
Operator: And it appears that there are no further questions at this time. I will turn the call back over to the company for any final comments.
Eric Bolton: Okay. We really appreciate everyone joining our call this morning. And if you have any follow-up questions, just reach out and I will be glad to answer any other questions. Thanks very much.
Operator: Thank you. And this does conclude your program. Thank you for your participation. You may disconnect at any time.